Operator: Good morning, and welcome to the Qnity Fourth Quarter and Full Year 2025 Conference and Webcast Call. [Operator Instructions] Please be advised that today's call is being recorded. I will now turn the call over to Nahla Azmy, Vice President of Investor Relations. You may begin.
Nahla Azmy: Thank you, and good morning, everyone, and welcome to Qnity's Fourth Quarter and Full Year 2025 Earnings Call. I'm joined by Jon Kemp, Qnity's Chief Executive Officer; and Mike Goss, Qnity's Interim Chief Financial Officer. Earlier today, we issued our earnings release along with a supplemental slide presentation, which can be found on ir.qnityelectronics.com. Before we begin, I would like to remind you that today's discussion will include some forward-looking statements. These statements represent our best view of predictions and expectations for the future, but numerous risks and uncertainties may cause actual results to differ. Please refer to our earnings release and SEC filings for a discussion of these risk. We will also be discussing certain non-GAAP financial measures. And I refer you to our earnings materials for information regarding our non-GAAP financial measures and reconciliations to the most directly comparable GAAP measure. With that, it's now my pleasure to turn it over to Jon.
Jon Kemp: Thank you for joining us this morning for our first earnings call as a stand-alone public company. When we launched Qnity late last year, we detailed our focus on establishing ourselves as the premier technology solutions provider across the semiconductor value chain. That means being the partner of choice to customers at every stage from chip fabrication to advanced packaging and interconnect to thermal management. And it means understanding where the market is going, so that we can stay one step ahead, delivering more innovative and integrated solutions to address our customers' most complex challenges. As the industry continues to rapidly evolve, we're proving that the next lead in AI and other advanced technologies will be powered by materials innovation, and that's where Qnity leads, with chip designs becoming more complex, materials fit smooth, shape, connect and protect our paramount as the leading pure-play provider of integrated solutions for the semiconductor value chain, this dynamic creates powerful near and long-term growth drivers for Qnity. We're leveraging three core structural advantages to capitalize on these demand tailwinds. First, the unparalleled breadth and depth of our portfolio enable us to offer end-to-end solutions to our customers. Second, our innovation capabilities have earned us a seat at the design table with global technology companies. And third, our local-for-local approach with manufacturing facilities and R&D centers located close to customers wherever they operate. Turning our attention to last year's financial results, our fourth quarter and full year 2025 performance is a testament to the strength of our portfolio, the trust our customers place in us and our ability to execute on our value creation strategy. We delivered our seventh consecutive quarter of strong organic growth, and we outperformed the market exceeding our full year 2025 financial objectives. We grew organic sales by 10%, including strong growth in both operating segments. Reflecting a full year of stand-alone public company costs. Pro forma adjusted operating EBITDA was up 11% year-over-year with strong margins. In our Semiconductor Technologies segment, we grew organic sales 8% in 2025, driven mostly by strong demand for semi fab consumables. AI and high-performance computing led demand drove double-digit sales growth in advanced nodes and advanced packaging, and we benefited from ongoing improvement in mature nodes and NAND. Our Interconnect Solutions segment had an exceptional year, growing organic sales 12%, led by continued AI and data center tailwinds. Our core drivers in this segment continue to be advanced packaging, advanced interconnects and thermal management. Across the portfolio, our innovation engine remains at the heart of our growth strategy. In chip fabrication, our customers require improved performance, quality and yield. That's because even small gains in quality or yield can create huge value. We're continuing to execute our strategy to increasingly shift our portfolio to leading-edge technology. In 2025, our advanced logic and high-bandwidth memory business grew mid-teens. And we made further progress towards reaching the 45% to 50% advanced node exposure target we highlighted at our Investor Day. Our CMP portfolio is evidence of that strategy at work. It's a structurally growing opportunity that's directly linked to advancing the AI semiconductor road map. In October, we introduced our Emblem CMP pad platform a breakthrough innovation that set a new standard for pad design, defect control and performance. These new pads address the aggressive planarization requirements of the most advanced chips including N3 and N2 Logic and HBM3 and 4 memory. The feedback from customers has been outstanding. And the platform's external recognition underscores the differentiated value we're bringing to the market. Similarly, we're continuing to see strong growth from our CMP advanced cleans and slurries products across leading-edge logic and memory devices. By targeting specialized formulations, we're building on our leadership in CMP and extending our position in this critical manufacturing process securing new wins across both front-end chip fabrication and advanced packaging. As you can see, our innovation approach is driven by listening to our customers. building on decades of experience as a partner of choice to leading fabs and OEMs, pushing the boundaries of what's possible and investing in the kind of collaborative innovation that moves the industry forward. As we continue to roll out new solutions, our Process of Record or POR wins are building meaningful long-term momentum. These wins are tied to high-growth opportunities aligned directly with our customers' technology road map. And in 2025, we secured POR wins across every single line of business. These wins represent early design selections that typically scale into commercial production over the next 2 to 3 years. Positioning our technology to be embedded in future generations of semiconductors and other advanced electronics. This only deepens our level of partnership and expands our content with leading players in the semiconductor value chain and gives us greater visibility into future sales growth and conviction that our strategy is working. Our top priority is creating additional high-value opportunities to progress alongside customer road maps. And we're committed to making the R&D and manufacturing capacity investments necessary to support the strong advanced node ramp activity we expect in 2026 and beyond. Given this surge in activity, I'd like to share some more details on what we're currently seeing in each of our segments and how we expect our end markets to evolve in 2026. In semi, customers continue to invest in their most advanced technologies. In advanced logic, this includes the continued scaling of 3-nanometer and early production of 2-nanometer. In memory, we're seeing next-generation DRAM and HBM as well as transitions to higher layer count NAND architectures. We remain ideally positioned to capitalize on this shift through both the increased use of more complex 3D structures and the adoption of more chip layers, giving us a stable, repeatable revenue stream as production volumes increase. In ICS, advanced packaging continues to be a core theme of every recent customer conversation because of the central role it plays in unlocking next-generation technologies. Including increasing chip density and performance while also reducing power consumption, facilitating development of smaller, more efficient devices. One of the reasons Qnity is so well positioned to capture meaningful growth in advanced packaging is because it integrates solutions from both semi and ICS. In 2025, advanced packaging solutions represented approximately 10% of Qnity net sales. From an end market perspective, our portfolio continues to evolve based on more durable structural demand shifts. Data centers are where we're seeing the most benefit from these dynamics. However, we're also seeing continued signs of increasing content and demand recovery in other industrial markets like automotive, communication infrastructure and aerospace and defense. As these end markets start to incorporate more advanced AI-driven technology into applications, we expect meaningful opportunities to continue increasing Qnity content. On the consumer side, next-generation devices are increasingly shifting towards edge computing, meaning on device generative AI, which is also requiring greater content opportunities for us. The significant demand for AI and high-performance computing workloads is creating additional pressure on the global memory market. We continue to watch for signs of potential downstream impacts into end market demand. The key here is that our exposure is primarily to premium devices, which we expect to be a more resilient part of the market. I also want to mention some of the trends we're seeing on the ground floor, namely the ongoing improvement in fab utilization rates. In advanced logic, we expect utilization to increase from the high 70s at year-end 2025 to low to mid-80s in 2026, while mature logic will continue improving towards the mid- to high 70s. In memory, we expect DRAM fab utilization to increase from mid-80s in 2025 to high 80s while NAND utilization is expected to reach the upper 70s or low 80s in 2026. With strong utilization rates and accelerating capacity expansion more than ever, customers are prioritizing supply security. We've spent the past several years making strategic investments in capacity and capabilities across our network to support growth in advanced logic and memory as well as advanced packaging and thermal materials. Our local-for-local model and recent expansion throughout Asia and the United States position Qnity to capture additional content and share while ensuring long-term strategic relevance. Before turning the call over to Mike, I'd like to touch on the multiyear transformation plan we're also announcing today, which is expected to deliver approximately $100 million EBITDA run rate benefit by the end of 2028. This plan, which Mike will step through in more detail, reflects our commitment to continuous improvement and ensuring Qnity remains well positioned to lead in the markets we serve across the semiconductor value chain. It's all about driving future growth and profitability by simplifying our operating structure, increasing quality and efficiency, unlocking innovation capacity and concentrating our efforts on high potential markets and customers. With that, I'll turn it over to our Interim CFO, Mike Goss, to discuss our financial results and 2026 guidance. Mike brings deep experience and knowledge of the business, having served as Qnity's Chief Accounting Officer and FP&A leader. I've known Mike for many years, and we've been fortunate that he was able to jump right in. Mike?
Michael Goss: Thanks, Jon, and good morning, everyone. We had a strong finish to the year with fourth quarter net sales of $1.2 billion, up 8% year-over-year as we continue to capitalize on key growth drivers namely advanced nodes, advanced packaging and interconnect as well as thermal management solutions. We delivered this strong performance even as $40 million of sales shifted from the fourth quarter to the third due to our spin-related transition as discussed on our last call. Adjusted pro forma operating EBITDA was $349 million and adjusted pro forma EPS for the fourth quarter was $0.82. For the full year, we grew net sales by 10% to $4.75 billion and achieved adjusted pro forma operating EBITDA of $1.4 billion. Resulting in adjusted pro forma operating EBITDA margin of 29.5%. Margins reflect segment mix dynamics as the strong growth in ICS influenced our overall margin profile. Adjusted pro forma EPS for the full year was $3.35, equating to a 12% year-over-year increase, including adjustments for including investments. In Interconnect Solutions, we delivered net sales of $2.1 billion with organic growth of 12%, led by advanced packaging, advanced interconnects and thermal management, all of which increased more than 20% for the year as we sealed up several exciting wins at leading fabs and OEMs. As a reminder, these are the fastest-growing solutions in our ICS portfolio, which led to significant operating leverage for the year. Segment adjusted pro forma operating EBITDA margin was just over 25% as strong growth more than offset strategic investments driving margin expansion of over 175 basis points year-over-year. For the full year, we generated $706 million of adjusted pro forma free cash flow, equating to 15% of net sales, reflecting strong operating performance, disciplined execution and favorable working capital following the spin. At year-end, our total cash balance was over $900 million. This healthy cash position enhances our overall financial flexibility enabling us to fund strategic investments and maintain a balanced return-focused capital allocation framework. At our Investor Day last fall, we outlined a clear and comprehensive set of capital allocation priorities. Our first priority will always be organic reinvestment into the business to sustain above-market growth. We anticipate elevating CapEx investment in 2026 to 9% of sales, driven by investments to strengthen our local for local footprint in key geographies and our transformation initiatives. Consistent with our midterm financial objectives, we expect CapEx to return to our normal run rate of roughly 6% of net sales in future years. As Jon highlighted, the industry is continuing to see advanced node ramp activity in 2026, supported by substantial global investment. Over the last 3 years, we've added new capacity in all of our semi businesses, and we'll continue to invest in growth to keep pace with the industry. Importantly, as these near-term investments moderate, and CapEx returns to our normalized run rate. We expect free cash flow margins to be in the mid-teens as a percentage of net sales. With our strong financial position, we have the optionality to explore selective accretive M&A. The industry is growing rapidly, and we view acquisitions as a compelling use of capital to bolster our trajectory. We're actively pursuing a robust pipeline that would further enhance our portfolio and will remain disciplined in evaluating any potential transactions. We're also committed to capital returns. In December, we declared our first quarter dividend. In addition, today, we announced that our Board of Directors approved a $500 million share repurchase authorization. This program is designed to provide flexibility for opportunistic purchases depending on market conditions. Finally, we have the option to voluntarily pay down debt to continue strengthening our balance sheet. We ended the year with net leverage of approximately 2.2x, well below our long-term target of less than 3x. I'd now like to share some additional details on our transformation plan, which we expect to further improve our growth potential and financial strength. Our actions will focus on three key areas: first, commercial and innovation excellence to enhance speed and sales effectiveness, deepen our foothold with customers on the cutting edge of technology and continue spurring innovation within our powerful R&D engine. Second, driving productivity and quality improvements across the company through operational automation and tailored AI applications. This work will be further enabled by our ongoing IT systems independence effort. Finally, strengthening our local for local operating model by streamlining our supply chain, simplifying our legal entity structure and optimizing our footprint to more effectively leverage our scale. We expect these combined actions to deliver approximately $100 million in EBITDA run rate benefit by the end of 2028 with approximately $140 million in cost to achieve over the next 2 to 3 years. We will pursue long-term structural investments, executing against three key areas during these early phase of the program, resulting in a majority of these onetime costs occurring in 2026 and 2027. Now I'd like to talk about our financial guidance for 2026. Overall, our strong financial performance in 2025 positions us to enter the year with solid momentum. Looking ahead, our competitive advantages and consistent execution give us confidence in our ability to continue driving growth as we capitalize on the demand trends we're seeing across end markets, fueled by AI, high-performance computing and advanced connectivity. MSI wafer start data remains a good indicator for Qnity's overall demand, and we continue to expect MSI to grow approximately mid-single digits this year. For full year 2026, we expect net sales to be in the range of $4.97 billion to $5.17 billion. Adjusted operating EBITDA to be in the range of $1.465 billion to $1.575 billion, adjusted EPS to be in the range of $3.55 to $3.95 and adjusted free cash flow to be in the range of $450 million to $550 million. Looking ahead at the first quarter, momentum from AI-led demand continues across high-performance computing and advanced connectivity with notable strength in the ICS segment. Overall, we expect sequential net sales growth high single digits with a similar margin profile to the fourth quarter. Our team continues to be focused on keeping pace with customer demand and delivering solutions for the most advanced technologies. With that, let me turn it back over to Jon for his final thoughts before we begin the Q&A.
Jon Kemp: Thanks, Mike. I'd like to briefly recap a few key takeaways from today's discussion. First, we sustained our strong organic growth momentum in 2025 and delivered on each of our financial objectives for the year. Our newly introduced full year 2026 guidance reflects our conviction that we can continue building on this momentum. Second, we've established ourselves as a partner of choice to customers in the semiconductor value chain, and we are relentlessly focused on investing in cutting-edge innovation and capacity to create high-value growth opportunities alongside our customers. Finally, as we look ahead, we're taking decisive steps to create even more value for shareholders, including our transformation plan and share repurchase authorization, providing avenues to increase returns. In short, our team is focused on delivering on our strategic priorities. We have strong confidence in the strength of our platform and our ability to capitalize on the opportunities ahead. Thank you again for joining. Operator, we can now open the line for Q&A.
Operator: [Operator Instructions] And we'll go first to Bhavesh Lodaya with BMO Capital Markets.
Bhavesh Lodaya: Semiconductor trends are pretty strong here. I appreciate some of the color you provided on your prepared remarks. As we look at your EBITDA guide, can you provide some thoughts on what you're building into that, maybe perhaps on MSI, PCBs or any of the key metrics that you would like to touch on.
Jon Kemp: Yes. Thanks, Bhavesh. I appreciate that. And when we think about it, we're expecting MSI, as Mike indicated in his prepared remarks, we're expecting MSI to be mid-single digits, not terribly different from what we saw in 2025. And I would say on the printed circuit board side, we believe MSI is the best overall indicator. But if you look at the indicators around PCB, they're kind of in that same ballpark kind of that mid-single-digit range. So there's not a lot of spread between some of the broader macro indicators, which is really kind of why we've anchored our guidance to kind of where the -- right down the fairway towards where the market estimates are plus our outperformance content advantage, which is kind of how we got to the midpoint of the guidance range that we gave today.
Bhavesh Lodaya: Got it. And in terms of -- if I caught the tail end of your remarks, correct, for the first quarter, you're expecting high single-digit top line growth sequentially and similar margins to fourth quarter. Could you touch on how you see -- just because it's your first year, could you touch on how your quarterly cadence for the year?
Michael Goss: Yes. Thanks for the question. At a high level, ever since we came out of the 2023 downturn, we've seen less seasonality in our business. And so as we move into 20 the guide we have for the first quarter, like we said, is high single digits. And we will expect to see consistent steady performance through the year. We do tend to see a peak -- a little bit of a peak in the third quarter. But overall, we do see that steady performance through the year, and that's what reflected in our -- at least in our first quarter guide that we talked about.
Jon Kemp: And I would say that's not terribly different from what we saw in 2025. But keep in mind, as Mike alluded to in his prepared remarks, we had a little bit of a timing swing of some sales in the third quarter, which created a little bit of an elevated peak in the third quarter of 2025 because of the IT system cutover. But if you strip that out, we expect a very similar seasonal pattern in 2025, 2026.
Operator: Thank you. And we'll go next to John Roberts with Mizuho.
John Ezekiel Roberts: The base tax rate in 2026 is low 20%. That's a nice improvement from the initial pro forma rate, but it's still above many of our other companies. Do you have a long-term rate target? And how much further reduction in tax rate do you think you can do?
Michael Goss: Yes. Thanks, John. It's a good question. At a high level, we've seen nice improvement, obviously, from '25 versus what we're forecasting for '26. Over the medium term, I expect we'll continue to work through that and eventually get into place consistent with our peers in that high-teens percentage.
John Ezekiel Roberts: Great. And then is CMP used in advanced packaging as well? Is there a planarization step before the devices are directly connected to each other?
Jon Kemp: Yes, John, great question. So at a high level, yes, the CMP processes, including pads, slurries, cleans are used in advanced packaging. It's one of the fastest growth areas within our advanced packaging portfolio. and that continues to increase over time as you get into taller, more complex structures, the planarization to ensure that really efficient copper-to-copper bonding, whether that's in traditional formats or even going to hybrid bonding format, that planarization step is critical for advanced packaging.
Operator: And we'll move next to Christopher Parkinson with Wolfe Research.
Christopher Parkinson: So I'll keep it simple. Now that it's -- you're a fully independent company and you've gone through the CMD and kind of all the outlooks and we have a pretty good sense of your algo relative to your end market expectations. How should we be thinking about op leverage throughout the year in both semi and ICS, where you've been in the last couple of quarters and where you expect to be and kind of what -- the Street should be monitoring to assess that aspect of your business?
Jon Kemp: Yes. [ John ], I think that overall, I think our -- if you take a look at how we performed in 2025, I think we're pleased with that performance. Given the relative segment mix, that 29.5% overall margin performance, 40 bps of margin expansion year-over-year is a nice outcome, obviously, really strong operating leverage within the ICS segment. Within the semi segment, margins came in kind of in the mid-30s, kind of right in line with our expectations in that business with all of the intense activity around the scaling of advanced nodes we've made some incremental investments in our R&D and engineering organizations to support the scale-up of those advanced nodes. And so -- and within there -- from any quarter-to-quarter, there's always a little bit of fluctuation in product mix, and that's what's really driving that in that segment. When you look at the ICS business, you look at where the growth drivers of that business continue to be between advanced packaging, advanced interconnects and thermal management. All of those grew more than 20% in 2025. Those are also the highest value parts of that business. And so we got the benefit of really great volumes in that business combined with some favorable product mix, that led to the 175 basis points of margin expansion. I would expect kind of similar dynamics next year and we've talked about even going back to our Capital Markets Day that we believe that the Interconnect segment had opportunity to kind of grow margins at a faster pace than the semi. But over time, I think there's opportunity to do better in both segments.
Christopher Parkinson: Great. And a quick follow-up. Can you just, once again, a lot of moving parts out of the spin on the balance sheet, free for cash flow people are going to be pleasantly surprised with the $500 million share repo. But in terms of just the free cash flow in terms of the outlook conversion, where you currently are and where you expect to be, can you just give us a little walk throughout the year and how you think -- how you believe things are ultimately going to play out.
Michael Goss: Yes. Thanks. Great question. Yes, we've ended the year with obviously a real strong cash position and strong cash flow generation in the $700 million range. And as you said, in the guide for '26, we are guiding to about $500 million of free cash flow, on an adjusted basis. And that's really driven by the main updates are accelerated or elevated rather, CapEx to around 9% of sales, and that's driven by the continued ramps that we're seeing in node transitions. And so we're accelerating our elevating that CapEx to support our local to local investments. We also have the IT independence work that we're continuing through as well as the transformation program that we've announced today. And so that really drives an elevated CapEx in '26. And that's the main driver versus what we talked about back at Investor Day and puts us in that $500 million range of free cash flow for the year.
Jon Kemp: What I would add, Chris, there is the way that we think about it is this business really kind of generates cash flow on an annual basis. in that mid-teens percentage of sales, right? And so that's really kind of as you think about us over time. Mike said, we've got some of these onetime items that will influence kind of the cash flow in 2026. But over time, we should be generating cash in that mid-teens percent of sales.
Operator: We'll go next to Jim Schneider with Goldman Sachs.
James Schneider: I was wondering if you could maybe address specifically how you expect the Internet connect growth to play out over the course of 2026, whether that's sort of higher or lower than the overall corporate average you outlined? And the reason I ask is because as you talked about the memory pricing seems to be generating some demand destruction in the consumer electronic supply chain particularly in China. So maybe can you talk about whether you baked in any kind of material headwind in ICS for this year? And then related to that, can you specifically talk about your China sales in the quarter and what you're expecting for China over the course of this year?
Jon Kemp: Jim, you'll have to help me. I think that was like three or four questions in one. So I'll try and cover some of these pieces. Maybe I'll start with just to road map this a little bit. I'll start with some of the dynamics that we're seeing in the memory market. I'll give it to Mike and have him comment on kind of the ICS segment, how we think about kind of the segment differences between the segments and the year, and then I'll come back to your China question to finish. So when we think about -- from a growth perspective, we're excited about the progress that the memory market continues to make, especially in next-generation DRAM and HBM as well as the ongoing transition to higher layer count NAND architectures. We're capturing nice growth from rising content in those advanced technologies, and we're still seeing utilization rates. Obviously, there's some capacity concerns there that I think everybody is aware of. It's been a hot topic over the last few weeks. I just want to level set our exposure the memory market is about 20% of our semi portfolio. About 80% is on the logic side. And within memory, our exposure is largely driven to unit-driven consumables. So kind of a pricing kind of out of the equation, it's really driven by the volumes on that side. It is important to note that our exposure is primarily on what I would call premium devices. And in any type of constrained environment, we would expect premium devices to be the more resilient side of the overall market, which kind of limits our relative exposure. Obviously, we're closely monitoring the situation in constant conversations with our customers. And then if you take a step back for a minute and you think about where these chips are going, whether they're going to data centers or whether they're going to consumer devices, we're really well positioned to pick up that demand no matter which end market it ultimately goes to. And that's kind of why we feel really good about kind of our growth prospects for the year. Mike, I'll hand it off to you.
Michael Goss: Yes. Thanks, Jon. And just to reground obviously, we've guided for our first quarter at high single digits for the total company. And for full year, we've got a midpoint -- the implied midpoint in our guidance. But sales of that, a little over 6.5% growth year-over-year. And obviously, that's a mix of the two segments. We exited the year nicely with ICS continuing to see a lot of strength where they outperformed the semi growth a bit. And so we're really expecting to see that same momentum in that same mix profile continue through the year where ICS will be probably a little bit stronger than sunny.
Jon Kemp: And maybe just to finish up, Jim, on your -- on the China question to come back to that. China remains a critical market for us given its central role in the semiconductor value chain and just position is a large domestic market as well. In 2025, China grew high single digits for us. Frankly, that was better than what we were expecting. And China accounted for just over 30% of our total sales, also kind of in line with our expectations. In terms of what we're seeing on the ground floor in China, I would say that particularly in the second half of the year, we sort of normalize to what I would say, the same type of buying behavior we see in other geographies, namely that customers are buying based on a combination of performance, quality and supply reliability. And that's where our local-for-local operating model really serves us well in places like China because we have that really well built out local infrastructure to be able to serve the market. If you think about it from a growth perspective, I mentioned the high single-digit growth rate in China. We are seeing faster growth kind of -- in all of our other geographies, the rest of Asia as well as the Americas both grew double digit for us over the course of the year, and we're expecting similar dynamics going into 2026.
Operator: And we'll go next to Arun Viswanathan with RBC Capital Markets.
Arun Viswanathan: I guess I just wanted to ask a question about the guidance, first of all. So at the low end, I think you're up about 4.5%. What would be some of the things that would maybe push you towards that end? And similarly, at the high end, it's pretty significant growth. So maybe you can just kind of help us frame that -- those two ranges as well?
Jon Kemp: Yes, Arun, thanks for the question. When you think about the guidance range and some of the puts and takes, obviously, I characterized it before with Bhavesh's question on kind of what got us to the midpoint of the guide. When you think about kind of the low end of the range, what would have to happen for that to happen, it would be kind of more constraints really coming from the memory market and if that started to see kind of significant demand destruction that's outside the parameters of how we think the year is going to unfold. If you go to the high end, a lot of the growth expectations that we have this year, given the strong utilization rates and the most advanced technologies across our portfolio, it's really tied to capacity expansions at our customers and their ability to scale new node transitions and bring that capacity online. Obviously, there's a significant amount of global investment in those most advanced technologies, and we're working closely with our customers to help them scale up that production as effectively as possible. If we can get some of that incremental capacity online, we've got a lot of really nice content growth connected to no transitions and that capacity. So as it comes online, we'll benefit not just from the volume growth, but from the increased content coming off of those advanced nodes.
Arun Viswanathan: Okay. And on the transformation plan, is there a kind of a framework on how we should think that should play out over the next 3 years? Do you expect that -- those gains ratably? And maybe you can just detail some of the initiatives that you're undertaking there? Is it mainly kind of footprint optimization, SG&A reduction? Or what else would you describe as part of the plan?
Michael Goss: Yes. Thanks for the question. The transformation initiatives are in a couple of big buckets, as I said in my prepared remarks, really around productivity efforts commercial and innovation and our local-for-local model. And I'd say roughly of that $100 million benefit for EBITDA. We'll expect to see that come roughly half in the productivity space. And then the other half is split equally across commercial innovation as well as that look for local to local model. As far as what's in our guide for '26, I do expect we'll have a small amount of that benefit and that's reflected in our guide. And then ultimately, the remainder of that benefit comes in the 2027, 2028 time frame.
Jon Kemp: Maybe just to give you a little bit of specifics on some of the things we're excited about are as part of that within the productivity space, we're excited to really go aggressively after deploying some of the automation and tailored AI applications that we believe will help unlock incremental capacity strengthen our quality and ultimately improve our supply resiliency for our customers. That's a nice lever there. Some of the procure -- I think there are some procurement benefits and there's also some simplifications in our supply chain, around optimizing our warehouse presence and how we're positioned around the globe to better serve our customers. I mean if you think in some of the other categories, particularly on the commercial and innovation excellence, it's really about how we're driving the right level of attention to each of our customer segments. Obviously, historically, we've had a really strong focus kind of on our top 10, and we've talked about that in the past. But there's a lot of folks in the middle and maybe at the lower end that we can still do better with. And so taking advantage of digital tools to make sure that we can serve the customers more effectively and accelerate and on the innovation side, deploying some of those tools to increase the clock speed and the pace of our product development, which ultimately will give us an opportunity to work on more engaging with our customers. Over the past few years, we've seen a steady increase in the number of engagements that we have with customers and OEMs, and we want to unlock the innovation capacity to support as many of those as possible. So those are some of the bigger items inside this transformation program.
Operator: We'll go next to Melissa Weathers with Deutsche Bank.
Melissa Weathers: I wanted to, I guess, first, talk a little more high level on the ICS business. It seems like there's a lot of innovation happening over the next 2 years on the packaging side, on the thermal side. The thermal side is the piece that I understand the least. I think a lot of semiconductor investors you don't really get that part of the story. So can you talk about as we think about the next 2 years, like which parts of this ICS business, should we be excited for what kind of content increases should we be expecting maybe on a per device basis?
Jon Kemp: Yes. So when you think about kind of the ICS business, the three core drivers in that business are really advanced packaging, advanced interconnect and thermal management. within the advanced packaging space. We've got new technologies on [ starter ] and copper interconnect chemistry, which really brings great surface uniformity and purity to help make sure that those advanced packaging or maintaining the right level of signal integrity and reliability. And it's being broadly adopted from kind of our key fab as well as the OSAT customers that are really driving the growth in advanced packaging. We're also doing some -- in the advanced interconnect space. It's really getting to upgrading circuit board technology from traditional circuit boards to high layer count and HDI circuit board where you're getting finer lines and tighter spaces in order to help drive the signal reliability in places like data centers. And if you do that, you're starting to get into that again where there's nice technology leverage between kind of what maybe we were using 10, 15 years ago in the semi side, it's now relevant on the ICS side because of the tighter lines and spaces that those circuit boards are doing. So really nice technology leverage, as you get into high-density interconnect and high layer count circuit board. And then on the thermal side, this is -- all three of these spaces grew by 20% year-over-year in 2025, and they will really continue to be the source of growth going forward. On the thermal side, we've launched some new novel technologies in both thermal pads as well as gap filler -- liquid gap fillers. Some Phase Change Materials, and we're excited by other innovations and working closely with some of our OEM partners. Obviously, it's a critical need, especially in the data center segment. And we've seen a rapid adoption by a lot of the cloud service providing companies and OEMs in that space, and we're excited by the opportunity to continue to partner with them to bring these next-generation thermal solutions into the market. All of this is connected to what I said in my prepared remarks really around kind of the increasing number of POR wins across every business.
Melissa Weathers: If I could squeeze one more in. Just on the mainstream side, the mainstream nodes in foundry logic. I get -- it seems like you're expecting utilization to maybe gradually improve throughout the year. I think we've heard some pretty mixed takes from like, say, the analog or the power semi guys on the demand trends that you're seeing. So can you just give a little more color on what you're seeing in mainstream nodes, maybe across, I don't know, end markets? Just any other color there would be helpful.
Jon Kemp: Yes, happy to do that. So at a high level, I would say that we're encouraged by the ongoing recovery in mature logic. We believe that inventories are relatively healthy. Customers are already seeing small sequential improvements in utilization rates. I think we've seen that from a lot of those players kind of through this earnings season. We expect the recovery will likely, from a pacing standpoint, continue to be relatively modest given the connection to the global memory market. From a utilization point of view, we expect utilization rates, which kind of steadily improved through 2025. And from the low 70s into the mid-70s. I would say our expectations are for a similar pace -- a similar recovery in 2026 as to what we saw in 2025, maybe going from the mid- year-end to the mid, maybe even start to get into the high 70s range. Depending on the availability and kind of how the broader industrial economy goes. Obviously, the biggest drivers there, the data center markets have done really well. And I think there's plenty of room in the broader industrial economy across communication infrastructure and automotive just to name a few for us to have some additional wins. And as we see that, that's really what will allow kind of the semi segment to get back to kind of the normal -- the more normalized growth rate that we would expect.
Operator: And we'll come next to Aleksey Yefremov with KeyBanc Capital Markets.
Aleksey Yefremov: I wanted to come back to your first quarter comments. I think you talked about high single-digit sequential growth. It does seem quite a bit above your normal seasonality, if I look at the history. Is there anything unusual in Q1? And as a result, are there any consequences or how we should think about second quarter? Is kind of second quarter being flat versus Q1 the bad gas for us at this point?
Jon Kemp: So I'll maybe start there, Aleksey, and then ask Mike to comment further. So when we think about the first quarter, we are seeing some different types of behaviors. Usually, there would be a little bit of a seasonal decline kind of third quarter to fourth quarter and then fourth quarter into first quarter. I think I'll go back to what I mentioned in my prepared remarks around some of the structural demand shift that we're seeing in some of our end markets. that as we get into really a lot of the strength in the current market environment is really driven by data center, the high-performance computing. And that -- and the benefits that we're seeing there is sort of overshadowing and the benefits there are greater than the normal seasonal weakness that we would see from consumer electronics. And I think it's a testament to the strength of our portfolio that we're really well diversified and positioned across different end markets to be able to pick up those benefits. And so the same type of trends that we saw in the fourth quarter results is continuing into the first quarter with that strength. And all things being equal, that's kind of the state of play in the different end markets right now. As we get through the year, going back to the previous question, to the extent that we start to see opportunities in some of the other parts of the industrial markets, whether it's automotive, communication infrastructure, aerospace and defense, all of those represent nice content as you start to get AI capabilities, moving from, say, cloud computing and data centers to edge computing kind of at point of interface, whether that's in the car, the factory or with the consumer as we start to see more of that AI capability diversified into different end markets we expect that will continue to drive fairly robust growth rates. Mike, anything else to add there?
Michael Goss: Yes. Thanks, Jon. I think the thing I would add to that is, as I said before in one of the earlier questions, would you expect to see the steady demand through the year with a little bit of a peak in the third quarter. I'd say the other color I'd give is on the back half of the year, we do expect some scale-up on node transitions, as well as the ongoing evolution in the memory market dynamics. And so as you'd expect, we'll continue to provide additional perspective and information on what we're seeing as the year progresses.
Aleksey Yefremov: And I think you said that you had 20% growth and 20% plus growth in both advanced packaging and thermal management, EMI shielding. Kind of a 2-part question. Should we think about those types of growth rates as sort of achievable in your thoughts for '26? And also, it seems to me that thermal management kind of stepped up because I recall you've been talking about kind of growth there in the teens now. It's in the 20s. So is it the case that thermal management growth have accelerated?
Jon Kemp: Yes. Great question, Aleksey. It's obviously a dynamic that we're watching closely, and we're in constant conversations with our customers if I take a step back and I think about kind of what happened in 2025 and how that plays forward into 2026. In 2025, the ICS business broadly kind of the custodian of those key technologies, benefited from a lot of available capacity that was able to rapidly scale up in 2025. And what we're seeing as we go into 2026. Obviously, a lot of our customers and folks throughout the industry are making significant investments to expand the capacity for both advanced packaging as well as kind of the place in the manufacturing process where the thermal materials would get added as a lot of the pacing and the growth rates that we expect in 2026, are largely driven by the incremental capacity that our customers are able to bring online. So demand is strong in those areas. So it's not a matter of demand. It's really a matter of how fast can we get that incremental capacity online. And then we'll work with our customers as we make those we're pretty consistently getting increasing content wins with the customers in both of those areas. So is that incremental capacity comes online, we're confident in our ability to sustain that growth.
Operator: And our last question comes from Edward Yang with Oppenheimer.
Edward Yang: Jon, nice quarter, and thanks for the time I just wanted to come back to the level of conservatism that's embedded in the 2026 revenue guide around 6.5% or so. And again, if we step back, you did 10% growth in 2025, it looks like according to the first quarter guidance, up high single digits sequentially, that would mean you'd be growing more like mid-teens year-over-year growth in the first quarter. So is it just conservatism? And Mike talked about, again, steady growth throughout the year and even possibly second half, I guess, inflection, which would be consistent with what we're hearing from the rest of the semi food chain. So just some additional color to tie everything together, I suppose.
Jon Kemp: Sure, Ed. I think what I would what I would maybe start with is just go back to kind of where we started the Q&A part of today in terms of how did we get to the midpoint of the guide. The midpoint of the guide was really anchored around the expectations for MSI and the PCB market is the two best market indicators, both of those kind of being in that mid-single-digit range. And then adding on that, our expectations that we can outperform that. Obviously, we had nice outperformance in 2026. I'd like to think that we can be able to -- we're in a good position to be able to sustain that outperformance. To some extent, it is contingent on getting some of the incremental capacity for those most advanced technologies. And then obviously, the memory market dynamics that we talked about is what's kind of keeping us a little bit on the we want to take a little bit more of a wait-and-see approach to see how that continues to evolve as we get into the year. And kind of given where we're at in the first quarter, obviously, we're highly confident in where we're at for the first quarter. And then we'll provide additional color as to how these dynamics are unfolding as we get to the second half of the year. Mike, anything else you'd add there?
Michael Goss: Yes. I think the other thing I would add is just anchoring back to our overall midterm framework with sales growth in that 6% to 7% range, and that's part of what drove the midpoint of the guide that we have this year, obviously, we're continuing to see, as Jon said, the mix dynamics between the two segments, and we'll obviously continue to strive for opportunities to drive margin expansion from volume and product mix enhancement as we continue to serve and see growth in the most advanced technologies. So over time, I would also expect the transformation program that we're launching to help drive that enhanced performance as we move through the year.
Edward Yang: Okay. And for my follow-up, I just want to come back to this, I guess, your leverage to the memory cycle and the various puts and takes. And obviously, we understand what the upside is from your exposure to the memory cycle. And Jon, you touched on, again, maybe there could be some potential offsets. But I think during the call, you also mentioned you do expect to grow stronger than semi in 2026. So I guess the base scenario, is it fair to say that you're not really seeing any offsets necessarily from higher memory cycle. But again, just to be conservative, you are baking in some potential impacts that may or may not occur.
Jon Kemp: Yes. I think, Ed, the way that we think about it is, as I said, when I was talking a little bit about the specifics in the memory market is that wherever those memory chips are going we're going to pick up the benefit of that demand. So it's not so much of some of the reasons why we're confident in that ICS growth is if we're getting growth in the consumer -- from consumer electronics devices, that's great. We've got great content, a lot of that, especially on the premium side of the market, which we expect to be more resilient. If instead, those chips are being allocated more to serve the needs of data centers. That's -- I might argue that's slightly even more favorable because we're going to pick up probably higher content in data centers and margin and even we will in the consumer electronics side. So we're really well positioned from the diversification of our portfolio to be in a position that no matter where that growth comes from, we're going to be able to pick it up with kind of premium content.
Operator: Thank you. At this time, we have reached our allotted time for questions. This does conclude today's question-and-answer session as well as Qnity's Fourth Quarter and Full Year 2025 Call and Webcast. You may now disconnect your line at this time, and have a wonderful day.